Operator: Good day everyone and welcome to the Xinyuan Real Estate Company Limited Third Quarter 2011 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the call over to Ms. Helen Zhang, IR Director. Please go ahead.
Helen Zhang: Hello everyone and welcome to Xinyuan’s third quarter 2011 earnings conference call. The company’s third quarter earnings results were released earlier today and are available on the company’s IR website as well as on Newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results will be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in our registration statement and our Form 20-F and other documents filed with the US Securities and Exchange Commission. Xinyuan doesn’t assume any obligation to update any forward-looking statements, except as required under applicable law. Today, you will hear from Mr. Yong Zhang, our Chairman and Chief Executive Officer, who will comment on current operations, and provide some perspectives on the market environment. He will be followed by Mr. Tom Gurnee, our Chief Financial Officer, who will provide some additional colors on our performance, review the company’s financial results, and discuss our outlook for the reminder of year 2011. Following management’s prepared remarks, we’ll open the call to questions. During the Q&A session, Mr. Zhang will speak in Mandarin, and I will translate his comments into English. Please note that unless otherwise stated, all figures mentioned during this conference call are in US dollars. I will now turn the call over to Xinyuan’s Chairman and CEO, Mr. Yong Zhang. Please go ahead, sir.
Yong Zhang: Hello, everyone and thank you for attending us today. We were pleased that the third quarter was another strong quarter for Xinyuan. Contract sales and revenue growth increased significantly compared to last quarter on the prior year third quarter period. Xinyuan has made meaningful progress in a tough market environment with our effective sales and the marketing strategies including increased sales agent commissions and selective implementation of the common sales contracts is now local-resident buyers. Average selling prices were strong for the maturity of our project increasing over 10% compared to the second quarter, and over 18% compared to the 2010 third quarter. This helped to increase our gross profit margin and beneficially impacted our bottom line results. The third quarter launched one new project in the third quarter, Zhengzhou Royal Palace, which become our best performing project as measured by average selling price and contributed about 10% of our total contract sales. There was eleven development projects that were active in the third quarter with total sellable GFA of about 1.2 million square meters. At quarter end, we had one project in the planning stage. We expect that our 75 project (Inaudible) improve at continued revenue and the profit growth leading us to acquire additional loan lend possible in the months ahead. As we bring down certain project, we continue to beat our new project and believe we have new land acquisition to announce in the coming quarter. Additionally, our balance sheet continues to trend healthier with the large increase in cash and improved sales equities this year. We remain committed to maximizing shareholder value and we have continued to repurchase ADS' on the open market. As we end the final quarter on 2011, we have favorable outlook and remain comfortable with our full-year financial forecast. I would now turn the call over to Tom Gurnee, our Chief Financial Officer.
Thomas H.R. Gurnee: Okay. Thank you, Chairman, Yong Zhang. As the Chairman mentioned, our quarterly financial performance was strong once again. Third quarter 2011 contract sales, margins and revenue were all up over the previous quarter, while net income was slightly lower on higher operating expenses and taxes, more on that later. Contract sales at $257 million exceeded the previous quarter by 14% and the second quarter of 2010 by 70%. It also exceeded the mid-point of our previous guidance of $230 million to $250 million by 7%. GFA sold also exceeded the previous quarter at 189,000 square meters versus 184,000 in the previous quarter. ASPs held firm with our aggregate ASP rising from $1,228 per square meter to $1,362 per square meter, primarily due to the launch of the premium Zhengzhou Royal Palace property. Prices have not been revised since May 2011 when we reduced prices for the Suzhou Project and selected apartments in our Chengdu. Project. We did however increased commission rates on virtually all our projects to incentivize our sales agents; more on that later. Let me make some notes project by project; Xuzhou International City Garden, the GFA or gross floor area sales, they grew [6 acs] over the second quarter of 2011 to 21,000 square meters, as the second quarter price reductions have the desired effect. Kunshan International City Garden showed renewed life with the introduction of seller-financed contracts as GFA sales grew 65% over the second quarter. Fully 73% of Kunshan sales were seller-financed contracts as apposed to historical mortgage contracts; again, more on that later. Zhengzhou Royal Palace launched in September, one month late, yet exceeded our internal projections for the quarter by over 100%, and ASPs above 14,000 RMB per square meter. Jinan Splendid GFA sales fell 41% below Q2, but was still healthy at 23,000 square meters. This is a fairly normal sales trajectory for our newly launched projects. Zhengzhou Century Park B launched at the tail end of Q2 continued the strong sales performance in the third quarter at 25,700 square meters, versus just 10,000 square meters sold in the second quarter Zhengzhou Century Park East A project launch has been pushed back from August 2011 to the first quarter of next year to concentrate selling efforts on its neighbor, Zhengzhou Century Park B. And finally, Xuzhou a very nice project in Zhengzhou Province is expected to sell out its final 2000 square meters this quarter. Seller-financed does, let me take about seller-financed sales contracts. Due to the unavailability of mortgages for non-resident or second apartment buyers, we introduced seller-financed sales contracts in the second and third quarter. Specifically, we’re turning to include Kunshan buyers, but the new contract proves popular on other projects as well. Of the 73% of Kunshan contracts signed in the third quarter were of the seller-financed variety versus traditional mortgage contracts for the remaining 27%. The contracts were useful also for hiring properties were mortgage availability is limited namely Zhengzhou Colorful Garden and Xuzhou Colorful Garden town [halls], as well as Zhengzhou Royal Palace apartments. These contracts generally call for a 10% down payment upon signature. The second payment of 20% within 30 days, a third payment of 50% six months after contract signature, and the final 20% payment 30 days before delivery. In short, full 100% payment is required within 6 months to 12 months from the signature date and must be completed before delivery of the apartment. We are highly confident that these contracts would be successful for several reasons. First, we perform in depth credit to extent our buyer’s ability to pay. Second, buyer non-performance terms are highly punitive. Third, we’ve retain substantial collateral that we retain the apartment of course plus any installments made to date. Fourth, it is the lack of a third party mortgage provider in these contracts limits any buyer allegations of any forced mature has happened last year or during a period of given the policy changes. And fifth and finally, all of these contracts are absolutely non-cancel bond with no provisions for buyer termination without Xinyuan. Now let me move on to revenue for the third quarter. Revenue under the percentage of completion method of accounting totalled $213 million in the third quarter, up 17% on the previous quarter and 98% over the second quarter of 2010. Our previous guidance had been $215 million to $235 million, so we fell $2 million short of the lower end of guidance. Normally one would expect higher than guidance contract sales to lead to higher than guidance revenue, but this wasn’t the case in the third quarter of 2011. There were two factors causing this phenomenon and let me explain. First was lower than expected construction spending and thus lower than expected percent completion of our projects. Several factors were involved here including, subcontractor labor shortages as major workers participated in hometown harvest, and unforeseen construction curfews in down town projects namely, (inaudible). The third quarter of 2011 revenue impacted this under spending versus guidance of the lower percentage of completion was approximately $25 million. In effect, this revenue will be recognized in future periods. As we work through these issues in Q4, we should see the present completion numbers rise strongly and cumulative revenue recognition to rise accordingly. The second factor in the revenue shortfall under the percentage of the present method was the fact that we did not recognize revenue on any sales contracts whether mortgage contracts or seller-financed contracts where the collected deposits at period end were less than 30% of the full contract amount. So in the third quarter of 2011, mortgage and seller-financed contracts totalling $40 million with deposits less than 30% were not recognized in revenue, and this had a negative net revenue impact of about $20 million to $25 million. Now, let me talk about gross profit. Gross margin in the third quarter was $64 million or 29.9% of revenue, inching up from 29.8% of revenue last quarter, and up moderately from the prior year’s third quarter of 27.2%. The company updates its project cost of sales projects since quarterly, the Q3 2011 cumulative gross profit impacted of these changes and estimates was $3.7 million. Now selling, general and administrative expenses increased $4 million over the last quarter to $14 million, equivalent to 6.7% of revenue versus 5.6% in the second quarter. Okay. I hope you’re still with us, we have the line drop off. I was just talking about commissions SG&A spending and commission. Sales commissions to agencies rose $2.4 million or 92% from the second quarter to the third quarter. In part of due to increased sales volume, but mainly was on the rate increases I just described. We also in SG&A incurred a one-off retention bonus in general and administrative area totaling one million that has not been previously forecasted. Now let me cover net income, net income for the third quarter of 2011 was $31.2 million versus $31.8 million in the second quarter of 2011. Net margins were 14.6% and 17.4% respectively. Diluted earnings per share were $0.21 versus $0.27 last quarter as average outstanding shares decreased by over $2 million as a result of our share buyback program. Income taxes rose from $13.4 million or 29.6% of pre-tax profit in the second quarter to $19.6 million or 38.6% of pre-tax profit in the third quarter. $2.7 million of favorable tax return by any adjustments in the second quarter typically didn’t occur in Q3. In addition, our effective tax rate for the year was revised upwards through higher land value added tax as three projects (inaudible) entered higher tax rate brackets on improved profitability estimates. Our effective tax rate going forward is 34.6%. Now on the balance sheet there is no real change in trends here. As of the end of September 2011, the company reported cash and cash equivalents of $525 million compared to $470 million in last quarter end. Total debt outstanding decreased from $318 million at the end of the second quarter to just $304 million at the end of Q3, 2011. Operating cash flow exceeded $140 million in the third quarter up from $77 million in the second quarter 2011 with the Delta mainly due to under spending on construction as mentioned previously. Property under development dropped from $695 million to $622 million again, due to construction under spending. The company participated in the few land auctions in the third quarter, but we are now willing to change this in excess of our (inaudible) determined limits. We expect tightened auction activity in the fourth quarter and we are confident we can prevail in one or more without compromising our financial standards. In the fourth quarter of 2011, we do expect some softening if for no other reason, the seasonality. Historically, the fourth quarter is lower than the third quarter and the first quarter is lower than the fourth quarter due to Chinese New Year. But we cannot ignore the recent market settlements so we are going to guide a little conservatively this time. Fourth quarter contract sales are projected in the range of $180 million to $200 million. Fourth quarter revenue under percentage completion method has projected to also range between $180 million to $200 million. Net income should total $26 million to $30 million. This transit rates into full-year guidance ranges for 2011 of $760 million to $780 million for contract sales, $670 million to $690 million for revenue, and $100 million to $104 million for net income. Finally, let me finish by discussing shareholder value initiatives. Through the September 2011, we have repurchased 2.4 million shares or ADS's for $5.4 million. We will resume open market repurchase of shares in two days time when the black out period time expires. At current trading lines, we expect to complete the 10 million authorized buyback program in the fourth quarter of this year. Further authorizations maybe considered in later date depending on the company’s investment alternatives. We reiterate the belief that the dividend once initiated should be sustainable over the long term. At this time, our preferred method of declaring and remitting dividends is to declare an annual dividend soon after the annual filing of our 20-F currently scheduled for April 2012. As of yesterday’s close our share price was $1.89, the [three year] price earnings ratio based on today’s guidance works out to $1.4, and our September 30, 2011 book value stood at $605 million indicating a trading discount of book value of over 76%. So, we remain disappointed in our valuation and we appreciate all of those who called in and we look forward to hearing your questions. Thank you. Moderator?
Operator: (Operator Instructions) We’ll take the first question from (inaudible). Please go ahead.
Unidentified Analyst:
Thomas H.R. Gurnee: Okay. The Suzhou project, we actually dropped that price in May. It actually took hold in third quarter. Yes, we dropped it, but we dropped it no more than we have projected at the time and it was a competitive situation in Suzhou. It has the desired effects. The volume is up on Suzhou since we did that and quite markedly to up success. Our estimates, our project estimates for the total target revenue is at this price. So, the profitability of the project is still valid at this price and we don’t have any plans for further price reduction. And the Chairman confirmed earlier today that we have no plans for any price reductions on any property in our portfolio in the near future.
Unidentified Analyst: Okay, thanks. So recently the industry you look forwarded indicated that Tier I cities transaction volumes and what significantly is down year-over-year and the industry are talking about potential plus cost for Tier I cities. So, because – since our business mainly lies in Tier II cities, so, what if you start comment on what are the next in fact of Tier I cities expand through Tier II cities in bottom of the (Inaudible).
Thomas H.R. Gurnee: I think it’s probably, let me translate that to simple English and then we’ll get it translated to Chinese and the Chairman will answer just a min.
Yong Zhang: He is commenting that in the Tier I cities the fact well known that prices are dropping a lot. He is wondering will this propagate into the Tier II cities and are we being, so we’re seeing realistic pricing, we are not going to drop our prices.
Yong Zhang: Sorry to begin, we noticed that there are some (inaudible) second tier cities, price dropped by 10% and for Sichuan, we reduced the price for a very limited number of our projects such as the Suzhou and we’re making some (inaudible) returns and regarding the price to our customers in the future but generates (inaudible) reduce our price.
Thomas H.R. Gurnee: So, I think, I don’t know if you heard that, but the answer basically was, yes, we’ve seen some evidence of up to 10% reductions in Tier II cities, but we’re not reacting to that because we’re still selling somewhat briskly in our current prices.
Unidentified Analyst: Okay. Good to hear that. So my last question is regarding, you mentioned earlier in the call that XIN plans to issue annual dividends next year. So my question will be that in China, we experienced the tightening monetary policies recently, so what’s the purpose of XIN issuing annual dividend at this time regarding to cash for further development.
Thomas H.R. Gurnee: Well, that's a good question. We've got a lot of cash and we haven't bought any properties since the end of 2009. So we have a lot of power for potential land acquisitions. If we find several and can execute several attractive land acquisitions, it might lead us, well you talked about dividend. I'm sorry, once we implemented that dividend. We didn’t do it lightly, and we want that dividend sustainable and that is our policy from now forward that we will pay the dividend and we hope that that dividend is an increasing dividend year-on-year. And it is not contingent upon project acquisition; I was thinking more the share buyback. On the share buyback, we will watch to see how much money we’re going to spend on new land acquisitions, but on the dividend, we hope to sustain that for the very long-term years and years.
Unidentified Analyst: Okay.
Thomas H.R. Gurnee: Does that answer your question?
Unidentified Analyst: Yeah. Of course, so my understanding is that you have a plenty of cash for future land acquisitions and property developments because...
Thomas H.R. Gurnee: We can always predict, it’s a very attractive, very large attractive project came our way that could change overnight, but at this point in time, we have a lot of cash and we are searching for new projects, but that could change obviously if very attractive properties come along and we decide to acquire.
Unidentified Analyst: Okay, okay. Thanks, that's all my questions. Thanks for taking my questions.
Thomas H.R. Gurnee: Okay. Well, we're feeling pretty good about cash, because our margins are good, our margins are lot higher than when I joined this company and we’re generating significant cash quarter-to-quarter, this last quarter is $140 million of operating cash. Okay. Next question.
Operator: (Operator Instructions) And we’ll now take a question from Matthew Larson with Morgan Stanley.
Matthew Larson – Morgan Stanley: Hi. Thanks for taking my call. I’ve got a pretty it’s a simple question and I think you answered it, but as far as the way this information is reported on say Reuters or Thomson, which is my news feed, so it has been a little confusing. Your company in the real estate business suffers from the general consensus that there is some sort of bubble in China, and I don’t know either way, okay. But I do know that the valuations are extremely low and probably taking to account that to an exponential degree and so, I just want to confirm what it seems to be stated in your release here and what you had mentioned earlier that it looks like you got $0.21 per diluted share, but and that’s what’s reported, but then if I read through the detail it’s $0.42 per ADS, so there must be two shares per ADS is that true?
Thomas H.R. Gurnee: Very good, you got it.
Matthew Larson – Morgan Stanley: All right. So if you annualize 42, you’re talking a $1.60 or $1.70 and that’s where you get your 1.4 times EPS is what you had mentioned. So, you should have Reuters or Thomson or whoever else make that clear, because this is an extraordinary value already and this would highlight it maybe even more that’s number one. Now, number two your cash position ballooned to $525 million and then if I net out debt it looks like you’ve got 220 somewhat million in cash, so your cash position to my simple eye looks greater than the market cap of your company, if I net out all the liabilities. Is that an appropriate way to look at this?
Thomas H.R. Gurnee: Yes it is and I’m sorry, I didn’t bring it up. It’s a good point.
Matthew Larson – Morgan Stanley: All right. So I mean you’re getting an entire business for free, it seems like all right. My point of even mentioning this is because, I don’t care of the business if the bubble and plots over there if you haven’t bought any property in a couple years, you don’t have any legacy obligations then I just – I don’t really understand other than the fact that it’s a too strange investment world we’re in. Okay I'm trying to think if there is anything else. You answer the two major questions that said I guess everything else. So thanks very much for your time.
Thomas H.R. Gurnee: Sure, thank you. I’ll just add a little color to your question. We have increased all the time why don’t we buy all of our shares buyback and private et cetera. Why don’t we consider other strategic alternatives and this is one thing, that is very clear and that is the Chairman is in this industry for the 25 years and he wants to grow, he wants to remain an New York Stock Exchange Listed Company. And he wants to make our investors successful and he wants to be successful on the global stage. So we have many, many increase from people telling us to go private and we rejected them all.
Matthew Larson – Morgan Stanley: Can I ask one last question on that node, because of when number of well-publicized frauds out of developed the US listed Chinese stocks. Some have been spectacular we are some big hedge fund guys lost hundreds of million. So it’s not just a little guys who has been on the short end of the stick so to speak which has depressed all prices, but there has been a pick up of companies going private. Many of them in the face of bloggers who suggested that these companies would never get the financing and in fact, they have gone private and that it seems to me in my own firm, Morgan Stanley has made huge investments in a couple of companies with their private equity division. And it seems to me that if I was in the PRC and the benefits of listing in the US no longer are there, because there the evaluations make no sense I mean, you’re talking about one or two times multiple in your own stock. Why wouldn’t one just go private and then re-list a year later in Shanghai or Hong Kong at a multiple of 10 or 20 and also you would be listed in a currency like the Yuan or something that presumably might appreciate in the future. I mean, to me that’s no brainier of an arbitrage. Any answer for that strategy?
Thomas H.R. Gurnee: Yeah. Well, first of all, let’s talk about Shanghai and China. You’re not going to get a property company listed in Shanghai. The CSRC is not going to approve it, not going to add.
Matthew Larson – Morgan Stanley: Okay.
Thomas H.R. Gurnee: So we’ve got to rule that one out. But when you talk Hong Kong and there is all these companies, the one or two example I’ve seen where they’ve done full group, in other words they’ve gone all the way to re-listing have been in Hong Kong. Hong Kong multiples are in fact great either they are a lot better than 1.4. I think we’re very much in an anomaly there is something seriously wrong here with the investor perception of our company and I’m wrecking my brain trying to figure what to do about it. Now, you’re right. If we bought back in current multiples and then listed it, let’s say a multiple of five times higher that would be profitable, but I have to reiterate the Chairman’s goal. Chairman’s goal is long-term, he likes being listed on the near expected exchange, it has its cost, but the parts he likes, he likes the discipline that comes with Sarbanes-Oxley (inaudible) he likes the – comes from the quarterly reporting like I'm doing right now. And he thinks it makes us a stronger company. And so, it's not all about peer dollars and since he believes, as I do that somebody those valuations would come back and we’re not valuation shopping from one exchange to another. I understand your argument. It's a good argument. I'm a finance guy and just peer numbers. So, on peer numbers that's no brainier you like, but there's more to this than just the peer numbers.
Matthew Larson – Morgan Stanley: Okay, all right. Thanks very much.
Operator: (Operator Instructions) We will now move to (inaudible) with T3 Trading.
Unidentified Analyst: Hi, thank you for taking my call. Can you hear me, okay?
Thomas H.R. Gurnee: Yeah. What is your name?
Unidentified Analyst: Amir. Amir (inaudible).
Thomas H.R. Gurnee: Okay.
Unidentified Analyst: Yes, okay. So I came in a little bit late, forgive me if I kind of repeat anything. But being that your approach in regards to the earlier questions regarding, re-listing and unlocking the value of the company and shareholders as well. On that note, a comment and a question, one would be – being that you guys want to stay in this space and in light of the broad allegations in the whole China space, don't you think a dividend policy that can kind of the shareholders can count on rather than saying well if we find a property that could all change. That kind of dividend policy would definitely go a long way I think in reassuring the market, the sector and shareholders.
Thomas H.R. Gurnee: Amir, let me interrupt you.
Unidentified Analyst: Sure.
Thomas H.R. Gurnee: Because you're making a good point and I must have miscommunicated. What I said here was I'll read it again. We reiterate the belief that the dividend once initiated should be sustainable over the long term. It is our intention to continue paying the dividend for years to come. At this time, I preferred method of declaring and remitting dividends is declare an annual dividend right after filing the 20-F. Why? I want the credibility that comes with having a fully audited 20-F backing up my dividend declaration. But the dividend, we’re not making is, we are not looking at is contingent upon land acquisitions. We intend to continue paying the dividend, land acquisitions or not.
Unidentified Analyst: Okay. So there is a portion of the dividend that will remain, and it’s part of the policy basis?
Thomas H.R. Gurnee: No, all of the dividend. No part of the dividend among this scheme. So our intention that you can count on same or increasing dividends year-on-year.
Unidentified Analyst: And sorry, this part, I also get two different dividend numbers from Yahoo and from one other site, could you tell you what the current dividend is right now; the percentage?
Thomas H.R. Gurnee: Sure. Sure. It was $0.10 per ADS annually.
Unidentified Analyst: Okay.
Thomas H.R. Gurnee: And that cost us about $7.5 million, obviously it’s the first 75 million shares outstanding, but $0.10 per ADS on annual basis was our last dividend. Our next dividend, we are considering that and higher.
Unidentified Analyst: Okay. So we are talking about a 5% yield basis?
Thomas H.R. Gurnee: Sorry, a little over that right now. Yes.
Unidentified Analyst: Okay. That’s 10% of the FFO; is that what it results to?
Thomas H.R. Gurnee: I don’t know what FFO is, but it’s 15% of earnings, prepaid or earnings.
Unidentified Analyst: Okay.
Thomas H.R. Gurnee: With paying ratio of 15%.
Unidentified Analyst: Okay. And I assume that you would consider increasing those dividends as well as things move forward and you guys do well.
Thomas H.R. Gurnee: Yes, in that sense our Chairman as along with our shareholders, this are shareholder also.
Unidentified Analyst: Okay so and the last question with just the, is there anything else other than you know reporting and being and transparent as possible that you feel the kind of China stock, the China states and you guys in particular will do to you know how bring kind of light into what’s going on and obviously that can help all the existing shareholders and stake consultants.
Thomas H.R. Gurnee: Yes, well its funny, I’ve had a couple of bloggers and stuffs mentioning that we should do forensic audit of cash to prove to people that we have the cash is real. Well it’s kind of double hedge because if you do a forensic audit, it sort implies you don’t believe it’s there. Well, now we do have Ernst & Young as our auditor and Ernst & Young I’ve talked to them several times since these blow ups to make sure that their cash verification procedures are completely up to date, and they have all the Big Four have revised their cash verification procedures in China and to the point where when they get the verification, they have to absorb the person signing and chopping the verification. They wants let it go behind the wall or done electronically, they have to actually physically see it happen. There is a lot of new cash verification procedure. I don’t want to go and do a forensic audit. I believe this CATS verification audit is sufficient.
Unidentified Analyst: Sure. Thank you. And just the last quick question is, you know I know that the Chinese government has made some request with the Big Four auditing firms and it seems to be somewhat of tension going on, so to speak. Has that affected you guys in any way, have Ernst mentioned anything to you guys or do you think it’s going to have any effect or not at all.
Thomas H.R. Gurnee: Well, as a matter of fact that there’s been couple of comments by EY that well, what happens to – that we have to present this PCAOB, there's discussion about, everybody is watching with intention through this, because there is a standout presenter. If they’re saying you can’t give your work papers anybody without their approval and the SEC is saying finish the work papers or you can’t practice, so to look, these auditing firms that are stuck in the middle of that, they are stuck to this, the choice of not doing business in China or not doing business in United States.
Unidentified Analyst: Yeah. Which puts you guys in an interesting spot, isn’t it?
Thomas H.R. Gurnee: Yeah. I don’t know what we're going to do about it. I don't think we can do anything about it. Look, we don't mind scrutiny, we’re fully compliant with Sarbanes-Oxley, okay, and we've got Ernst & Young has been auditing for several years, their cash procedures are up. I don’t know what else we can do to demonstrate our integrity and our financial integrity.
Unidentified Analyst: Right. But in general, do you see that working out somehow, because otherwise what are they going to view the list, you know the whole Chinese sector for that, I mean I don't see any government doing that. So...
Thomas H.R. Gurnee: Well, there’s probably a compromise in there somewhere where they allow the PCAOB to review documents in China or something instead of the SEC getting in, maybe there’s probably a compromise in there somewhere.
Unidentified Analyst: Okay, all right. Thank you.
Thomas H.R. Gurnee: Thank you.
Operator: (Operator Instructions) With no additional questions, I’ll turn the call back over to your management for closing remarks.
Thomas H.R. Gurnee: Okay. Well, thank you very much for attending this call. We appreciated your questions, they were well thought out and intelligent. And we look forward to having another good quarter, next quarter, and reporting to you a year when we're making over a $100 million of profit. So thank you for dialing in and we’ll talk to you next quarter.
Operator: